Operator: Welcome to the review of VGP's financial results over full year 2025. [Operator Instructions] Now I will hand the conference over to the speakers. Please go ahead.
Jan Van Geet: Good morning, everybody, and welcome to the presentation of our full year 2025 financial results. My name is Jan Van Geet, and I'm the CEO of VGP, as most of you know, I think. I'll first start with a little executive summary and the highlights of 2025. We recorded a pre-tax profit of EUR 338 million, an increase of EUR 19 million or 6% higher than the full year of 2024. Our net asset value grew 8.3% up to EUR 2.6 billion, and that's -- the EPRA NTA is up 9%. We have an EBITDA growth of 28% to EUR 454.7 million, 13.5% increase. And what makes me happy is the historic record of EUR 106.7 million of new and renewed leases, which I will go to more detail later on. The annualized committed leases at the year-end stand now at EUR 468.3 million. We have 1,052,000 square meters under construction and our development pipeline is 75% pre-let. I can add to that, that we have signed a lot of LOIs, which are in final negotiation. We think that by the end of the first quarter, most of them will translate into new lease agreements. And if they do, and we expect they do because we are finalizing the lease agreements with them, we will have a new record of more than EUR 80 million of signed lease agreements to be started up in the new year. So we are having a solid pipeline to be started up already, which is fully pre-let. We delivered almost 500,000 square meters last year, 99% let. And the last unit has just been agreed upon. It's a small unit in Koblenz with somebody from the defense industry. We have 1.4 million square meters of land acquired and our total secured land bank stands at 10.3 million square meter, which represents a development potential of at least 4.3 million square meters. We did a net cash recycling of EUR 389 million through a transaction with our joint venture partner in the Saga joint venture, and that led to an additional EUR 60.5 million realized profits in 2025. And we target another material closing with the Saga, as we already announced it in August last year. We announced that we were going to do EUR 1 billion. I think we'll do a bit more in the second half of 2026, for which we have already all of the assets aligned. It will be a material closing. We'll go more in detail also later on that. And then finally, VGP and East Capital have agreed to set up at least EUR 1.5 billion of gross asset value of pan-European fund with an emphasis on Central and Eastern Europe. We know East Capital already for 15 years. They are a very reputable boutique fund manager from out of Sweden, which have quite some track record in Eastern European assets and they manage the fund, management thereof. The Board of Directors proposes an ordinary dividend of EUR 92.8 million, which is 3% higher than the ordinary dividend of 2024, or EUR 3.4 per share. If we look at the summary of the financial results, and you see that the steady growth of the total portfolio value goes up from -- for the full year at 100%, including the joint ventures portfolio at 100% with EUR 900 million almost from EUR 7.8 billion to EUR 8.7 billion. We have a continued strong growth in committed annualized rental income. It grew 13.5% year-on-year. So we're getting bigger every year. It's more and more difficult to beat that, but we're going to do our best this year. I think we're going to be able to set another nice year. We have a lot of demand in the pipeline. And the full year of 2024, we had EUR 412.6 million at the end of the year committed annualized rental income, and at the end of 2025, we had EUR 468.3 million. The EBITDA increased 28% -- Piet will go more in detail later on -- which followed actually a very solid performance in all of our business segments. It went up from EUR 354.4 million in 2024 to EUR 454.7 million in 2025. And then I already told you about the dividend, which will grow with 3% to -- we're proposing, anyway, to EUR 3.4 per share. I'll first go a little bit on the market and the market update. These are not our slides. These are slides which we got from Jones Lang LaSalle. And I will compare our own performance a little bit to that. If you look at demand and occupier segments, then you see the take-up share by sector, and then you see that the third-party logistics are still the biggest one. We have very little third-party logistics inside of our own portfolio. We have most end users and also longer-term lease agreements. And we see a very big comeback from e-commerce. It is bigger than what we have in here. And what we have in the pipeline now, what we are working on, is also very e-commerce determined. So we see them coming back, and we see that there is more and more and more demand from out of that sector. It's not only Chinese companies. Also, they are here. But it's mostly Western European and American people who are coming back to the market. We also see a lot more demand now from the defense sector. We have been able to secure some of them, and we are also currently negotiating with some of them for some new manufacturing things in the pipeline. The vacancy rate has come up a lot over the past quarters. It actually doubled from 3% to 6.2%. But that compares in our own portfolio to -- we are a little bit more than 98% let at the moment. And we see healthy demand. And we also see that there is a lot less speculative construction in the market. So the vacancy levels, we expect them to go down in the future. If you compare to all the markets which you see right next them, there where we are in Budapest, we have 0 vacancy; Madrid, we have 0 vacancy. If you look at Bratislava, we have 0 vacancy at the moment. In Milan, we have 0 vacancy. In Prague, we have 0 vacancy. Of course, some of these are also speculative buildings which have been started up over the last quarters. On the supply, you can see that the build-to-suit over the last 3 years is quite flat. The 2023, '24 and '25 levels have remained stable. But you see that the speculative development is coming down quite a lot, which gives us a good view on that there will be soon not so much available anymore in the market because there is quite some take-up over the last year also. We have 16.2 million square meter space under construction, which is the lowest level in the past 5 years now. Capital markets, I don't know if we can say something intelligent on it. Last year started very well, and we did a very large transaction, EUR 509 million, in the second half year. So that also contributes to it. But we saw that the -- overall, over the whole year, the transactions went up both in volume and in size. And -- but mostly in the smaller markets on the major markets, only U.K., the Netherlands and Poland posted a year-on-year growth. The yields have been relatively flat. You can see that very well. We've had a devaluation on some of our German assets because our valuator takes the view that vacancy levels in Germany should go up -- no, not should go up, but the reletting should take a longer period. He has made that from 12 months to 18 months. Pete will go in detail to it. But we have seen that in Germany what has come available over the year, we have been able to relet on average in 2 days, not more, and we have a 21% uptake on the rental income of what we have relet. So we can't really concur to that view, but it is what it is in the market. That's what our valuator thinks of it. But it's not visible in our own portfolio. I will go through the operational performance for the full year. Maybe I'll just go back. This is our park in Arad, which we've just started. And the building which you see on the right side is a building which we constructed for VAT. VAT is a vacuum valve producer for the semiconductor industry, a very specialized product production. It's got 12,000 square meters of clean rooms inside at a very high level. And we have achieved with that building, BREEAM outstanding score of 96.2%, which is the highest of any industrial building in the world last year -- no, over all the years in BREEAM outstanding. And this is our park in Valsamoggia, which is also fully let and which we've transacted last year through our joint venture with Saga, with our friends from Areim. As I already said, we had a record year in committed rental income, including the JVs at 100%. The group has 465 tenants, but that's divided over more than 650 lease agreements, as you can see. So we have a lot of tenants which come multi times back into our buildings. The committed annualized leases as of 31st of December stand at EUR 468.3 million; occupancy rate, 98%; and it's filling up really very well. At the moment, we really have quite some demand in our portfolio. And if we make the bridge, then you see that the committed annualized rental income started with -- and I think it's 13 -- yes, EUR 412 million and a bit. We signed new leases, almost EUR 57 million. We had EUR 6.5 million of indexations. We had some amendments in leases, people who wanted some other space or differentiate their space. And that EUR 8.9 million of terminations. And we sold one building in Riga to its user, to Jysk, which declined also EUR 2.4 million of rental income. And that brought us to the EUR 468 million, which we had at the year-end. But meanwhile, we've signed quite some leases already, and we're looking forward to be able to report to you after the first quarter, because, as I said, we have quite some nice LOIs in the pipeline. The majority of the new contracts which we signed were within the Logistics segment. I have some examples. Logistics was 67.9%. But as I said, we have very little third-party logistics. You don't see many third-party logistics also in the names here. We signed with Studenac, which is one of the largest retailers in the Balkan, a very nice cooled warehouse, which is delivered this week. We signed with Aldi a very nice new warehouse, which we're going to start construction in a couple of weeks in Frankenthal. That's a big one, 60,000 square meters. We signed a very nice lease with Movianto, healthcare dedicated logistics. That's a third-party logistics. But you see Heineken, Eureka, Duomed, Ursus, Farmol, Studenac, they are all end users and they use their own facilities and sometimes use somebody to operate it. This is something which changes all the time. But e-commerce was last year 16.5%, and I expect it to be quite a bit higher this year. Light industrial, 14%, but that's just a move in time because we also had quite some demand from light industrial over the past year. Our portfolio is leased to a very diversified and blue-chip tenant base. The weighted average lease term is already here stable. It's 7.8 years. As we keep on growing and most of the leases are relatively long term signed, we have -- the top 10 tenants represent 29.7% of committed leases. But also there, we have -- these represent 28 different lease agreements in many different jurisdictions. So it's well spread, the risk of it. And yes, if you look in here -- but this is a little bit longer term. The logistics represent 47% in our total portfolio, light industrial, 34% and e-commerce, 17%. And we have some others. We have some -- it's mainly Siemens, yes, where Siemens is in Nuremberg. It's a site where we have offices and which we are going to start rebuilding this year completely. This year, we have some quite iconical projects which are upcoming and about which I will tell a little bit more afterwards in the outlook, because we are going to really have some land plots coming online which are -- from which we expect really a very nice contribution in the coming 12 to 24 months. If you look at VGP at a glance and you look -- we are always looking forward in how can we grow and where can we grow, in which segments can we grow. And of course, the main part -- the main raw material to be able to grow is the land bank because we always grow organically, we develop everything ourselves. We don't buy any standing assets. And if you look at the December '24 net cash generative rental income, so things which were delivered and really generated cash, it was EUR 350 million or EUR 240 million at share. During 2025, we activated EUR 39 million of new leases. So it went up with 11% to EUR 389 million or EUR 236 million at share, so including 50% of the joint ventures, if you look at it. The signed leases, which are still under construction and which will be added on in the next 12 to 18 months, is another EUR 79 million. And so that's another 18%, and that takes us to EUR 468 million of income-generating activities or EUR 310 million at share of income-generating lease agreements, of which EUR 321.7 million sits in the joint ventures. But if you look at our land bank which we have today and the ERV of the vacancy and the development pipeline which we have, that's another roughly EUR 300 million, which takes us -- the potential up to EUR 766 million, or, at this moment, EUR 602 million at share. And we are trying to accelerate our development pace as much as we can now. The development activity, talking about acceleration, drives our second strongest EBITDA in our history. And if you look, there is a couple of notes which I need to say to this. You see very well the division between East and West. In 2021 and in 2020, we had big start-ups in Western Europe because we had these big leases in Giessen and in Munich, which started up at that time. You see also that in 2022, we delivered and then we started up a lot less because of the big inflation. I told you that I was standing very much on the brake at that point because I was afraid about having too much vacancy with buildings for which we paid far too much. Now we have our costs very well under control. Our margins are going up relatively quickly. We have very sound margins again, which you can also see in the revaluation result, because the revaluation result in this year, I think it's EUR 183 million, is pure and only revaluations from new activities from things which we have started up. And whereas, in 2021, it was a little bit a distorted image because there was also a big uptick in valuations, of course, in the standing portfolio as yields were going down with very steep declining interest rates. Out of the EUR 634 million record EBITDA in 2021, only EUR 81 million was cash -- was really cash income, recurrent income. Out of the EUR 455 million EBITDA in 2025, it's EUR 249 million, which says a little bit also about the resilience of our result going forward. It's more and more regenerative income. The net rental and renewable energy income at share has grown a lot year-on-year with 18% in 2025. If you look at it, we are now at EUR 223.384 million in 2025, which we expect a continuous growth in 2026. In the renewable energy, about which Martijn will tell you a lot more later on, we have now a lot diversified also into battery projects, battery projects which have a very high yielding on their investment, and of which we have foreseen to construct quite a lot in 2026 as now we have the permits coming into place to -- in order to be able to do that. We also thanks to the brownfields which we have been buying over the past years -- most of them have been big factories with enormous electrical connections. For example, we bought Hagen. Hagen has 90-megawatt connection of energy, which not only allows us, if we can, to deliver back very nice battery projects, big in size, but it also opens the potential. And it's very congested today to be able to do a more data center exercise. So we are trying to take a look at it, whether we could implement a data center also in Hagen, whether the location is the right one. And at the moment, we have 2 identified together with Sarah, our new employee who came from Microsoft. One is in Russelsheim and one is in Bodenheim. And on both, we are very well advanced on our permitting. On the permitting side, we are advancing very well. It will take a little bit more time. These are complex exercises also, but we are on a good way to be able to realize them soon. And it's our ambition to have something by the year-end to be able to say something more concrete about our data center developments going forward. The portfolio is virtually let on a long-term basis, and you can see there is very little variance. Combined occupancy of the portfolio stood at 98%, WALT at 7.8 years, with the first brick at 7.4 years. Top 10 customers, as I said, that's 28 lease agreements, and the biggest one is still Krauss Maffei. But when we first contracted them, they were 21%. And now thanks to all this growth, it's only 6% left of the total portfolio which is now Krauss Maffei. And Opel is 5.1%, which is a short-term lease, but it will be replaced. And we are going to redevelop, of course, Russelsheim, and we expect to be able to do quite a significant uptake in the leases going forward. Our own weighted average lease term on our own portfolio is 9.6 years at the moment. On the delivery side. And here, you see our park in Vejle under construction in Denmark. We delivered 21 buildings, which represented almost 500,000 square meters in gross lettable area. That was EUR 32.9 million rental income, 39 new contracts, and they were 99% let. And as I said, we've now have -- we have a tentative agreement with somebody from the defense sector to take the last unit in these buildings, and it will be 100% leased. 100% will be rated BREEAM actually excellent, of which 31% is BREEAM outstanding over the last year, which I think in Europe, at least we believe we have done the best performance with the rating of BREEAM outstanding. You see 2 of our buildings, the VGP Park Parma in Italy, which last year, we delivered to Mutti, the tomato producer, and our Park in Keckemet, where, amongst others, we also have Mercedes as a customer. The deliveries in 2025 trending towards logistics, but you see immediately that there is also some quite big productions inside. Hyundai Mobis was a very nice one. We delivered a 50,000 square meter facility in Pamplona. And we delivered to VAT, as I already said, this building for this vacuum valve producer. On the 2 pictures which you see in the -- you see VGP Park Cordoba, which is a production, by the way. And then you see our VGP Park in Montijo, which we delivered last year and which for the biggest part is a cooled and deep cooled warehouse for Logifrio. The portfolio at share has grown organically and completely organically because we only develop everything ourselves and then we place it in our joint ventures. But it has grown at an annual compounded growth rate of 21.9% and it's gone up from EUR 5 billion to EUR 5.6 billion. We offloaded since 2022 EUR 3.4 billion of gross asset value into the joint ventures. And we aim this model works very well. We aim to continue to do that. Yes, it's -- if you look at it, Germany is still the strongest market, although the others are now growing maybe a little bit faster relatively. The Czech Republic is now almost EUR 1 billion in assets. Spain is growing quite well. And in the Netherlands, this year will be a huge uptick because we already leased out 60,000 square meters, which is under construction. But we are working on a very big new lease agreement in the Netherlands, which will take out our entire park in Nijmegen. The investment portfolio on 100% view has grown to EUR 8.7 million, which is up 11% year-on-year. And Western Europe represents 74% of the total portfolio value as of December 2025. You can see the completed is EUR 7 million. Development land is EUR 770 million or 9% of our total investments. And under construction, we have almost EUR 1.930 billion, which is also 11%. On the development side, the portfolio under construction represents EUR 85.3 million of new leases. And as per today, 43 buildings are under construction, which represents 1 million -- just 1 million of square meters. It's 75% pre-let, including pre-lets on development land. When we finalize these LOIs which we have in the pipeline, it will be well over 80%. So I think it's on a very healthy basis at the moment. We have started last year 761,000 square meter of new buildings in 2025, and we aim -- we have to already start up 450,000 square meters if this materializes, which is already pre-let, which is the highest which we ever had at the beginning of the year, pre-let, to be started up in a given year. So that's a very nice forward-looking thing to have. You can see again on the right side, you see our park in Rouen, which is now virtually fully let. We only have one last unit left. And then -- and a small one, 4,500 square meters out of the total more than 100,000 square meters -- total more than 150,000 square meters, which we are constructing there. And then you see our VGP Park in Veijle, Denmark, where we also have one last unit left, also 4,500 square meters. Yes. Again, it's well spread across our geographical footprint. You saw what is the income-generating assets or the assets overall, which are already that Germany in the income is more than 50%. In the -- what is under development, it's only 36%. You will see that the other countries are relatively growing a little bit faster now. They also are becoming more and more mature. France is a big market. Spain is a big market. The United Kingdom, I'm sure, will come up to speed soon. So we think that we will be able to do some very nice developments all over Europe. 2025 was also the first year where we had buildings under construction in literally every country where we're active in. That's never happened before. So that is now -- we have everywhere now buildings under construction. On the landbank, the picture you see is our beautiful park in Nijmegen, where we have Ahold Delhaize and Bol.com in one of these buildings which you see. And the land bank in front, that's only a very small part of it because we still have more than 20 hectares available, where we now have started groundworks already and we are already under construction for one client which we signed at the end of last year, Pragma Trading. And then we are negotiating -- we have signed an LOI for the rest of the land bank. The land bank, of course, it's something I am very much dedicated to because it is our -- it is the source of our future growth as we develop everything ourselves. And the land bank -- Piet likes to make bridges, so we have also this in a nice bridge. We owned in 2024 when we started or beginning of 2025, 7.4 million square meters, which is fully permitted, by the way. We acquired 1.37 million of square meters, which we always acquire subject to having the permit in place. So that's also fully permitted. We deployed 1.6 million square meters last year. We sold a little bit, a couple of square meters, but that's nothing. And then -- so we owned at the end of 2025 7.09 million square meters. But we committed, and in December, we had 3.15 million square meter of committed. So that's land which we have binding agreements on and which we then buy at the moment when we have the permit in order to be able to use it for its intended purpose. So that brings the owned and committed in December 2025 to 10.25 million. And we have another under option and PV contract of 1.51 million square meters. And this means that roughly -- because the 4.3 million is just the ground floor space, you need to calculate mezzanines and offices to it, but at least 4.5 million can be developed on this total land bank versus the 7 and a bit million of buildings which we currently have either finished or under construction. I also try to take a look -- a very pragmatic look at the land bank. And everywhere, we need to have a nice margin, which, of course, makes it -- in Germany, the yields are a bit lower than the exit yields than they are, for example, in Romania. But we try to target everywhere the same margin. So we -- and we have been able to target lands in all of our countries and the land bank is geographically well diversified. We have some specific countries we really need to take a look at going forward, but we were able to secure quite some really nice land plots, and I will talk a little about it also in the outlook later on. This is the first part of our operational results. I'll come later back to the JVs. But I'm now going to first give the word to Martijn to talk a little bit about our renewable energy company and its income.
Martijn Vlutters: Thank you, Jan. First, giving a short overview of how our renewable energy business has now actually developed 2 segments. Jan already mentioned it at the beginning. Photovoltaic has continued to grow, and we added a good 50% to the revenues for the photovoltaic business. But something that is still a bit nascent, but for which we see good prospects is on the battery projects. You see there's in total 258 projects on the photovoltaic side. There's a few less on the battery side. But actually, it's -- in terms of investments, we see a good opportunity both to deploy capital. There's around EUR 4 million invested now, but yes, we see that grow substantially over the coming 2 years. And certainly, if you see the megawatt hour deployment that becomes -- with 173, that's a good 30% of the total in renewable energy. So -- and as Jan mentioned also, the profitability of this business is typically much better than for the photovoltaic. So this will start to add to the EBITDA line for renewable energy in 2026, but even more so in 2027 and onwards. The big constituent of renewable energy remains the photovoltaic business. Certainly, in 2025, we've seen a good growth. As I mentioned, the revenue came from EUR 8.3 million, and we've added another EUR 4 million to the total revenue, which was driven by additional production that was now over 130 gigawatt hours. Energy price at which we've been able to sell has remained broadly constant. If you look at the outlook, we've added another 13% in operational photovoltaic this year. So you will start to see that also in the production figures for 2026. And then there's another 35-megawatt peak that is under construction, which we expect to become operational in the course of this year. And I think the last thing to add is that the overall yield for photovoltaic has now popped over 10%. So the overall investment of the projects that are operational is EUR 110 million. And as said, gross revenues was EUR 12 million. So the gross yield has actually for the first time now popped over 10%. Then maybe also briefly on the corporate responsibility. There is one thing here highlighted on the left-hand side, which was something that was recognized at the end of last year by Time Magazine in cooperation with Statista. They've done sort of a science-based and quantitative assessment of all the listed companies across the globe. And based both on our financial revenue growth as well as the sustainability metrics that we have been able to accomplish in 2025, they've highlighted us as one of the top 100 companies globally in terms of realizing sustainable growth. I think one of the big contributing factors to that is the EU taxonomy, which you see on the third on the left in the smaller boxes. We've now achieved 68% of the total portfolio. But certainly, if you look at the new productions or new construction, we've actually been able to verify EU taxonomy for 95% of the buildings that we are currently constructing. That's all under the EU taxonomy new construction regime. So that's quite a strict regime, which we've set ourselves. And yes, with the 95% you hear, that really has become our internal market practice to adhere to across the group. A couple of other metrics that we've highlighted here that I'll leave to you to read at your leisure. I think we can move on to the joint venture update. Jan, back to you.
Jan Van Geet: Yes. Our joint venture model is a little bit the cornerstone of our growth model going forward. And so far -- I'll go to the next slide -- we have -- you can see it's been growing consistently. We have done a new transaction last year with Saga, which is our fifth, sixth, whatever you call it, joint venture. And it's now more than 60% invested. And when we are going to do the next transaction, which is planned for the second half of this year, we will be virtually for a big part already fully invested. There will remain some parts of it, but we foresee a very material transaction in the second half year. And we have very positive and constructive talks ongoing also with Saga to continue with the next stage, next vehicle, which we would like to start up in the course of 2027, then going forward after Saga is fully invested. If you look at Saga -- well, as I said, it's 60% deployed. There remains roughly EUR 600 million of gross asset value. And as some of the parks which we have transferred have some little spaces left, which -- where tenants have expansion option, et cetera, we think that we will do a transaction which will exceed EUR 500 million in the end of the year, where actually everything is already identified. And we have been able to go a lot faster than originally foreseen, also thanks to the fact that we have enhanced the scope of countries in which we do our investments. In the beginning, what you see, the original scope, the dark green, it was Germany, France, Czech Republic, Slovakia and Hungary. And we have added to that Denmark, Austria, Italy and the Peninsula, Spain and Portugal. And so we now have a lot of assets which we can do. We have 989,000 square meters or 39 assets already spread over all these countries which are in site, and that's 60% of the total gross asset value which we have foreseen to deploy over the first 5-year period, which will become a 3-year period, I think, because by the end of this year, we should normally be fully invested. We also announced today for the first time that we are working with East Capital, a company which we know already for a very long time. Very nice people out of Sweden. I don't know if they are looking, but hello. VGP and East Capital is to set up a partnership to launch a Luxembourg-based real estate investment fund focused on European industrial logistics real estate with an emphasis on Central and Eastern European countries, not only but mostly. The targeted gross asset value we have agreed upon is at least EUR 1.5 billion. We hope to be able to do a first closing and we trust to be able to do a first closing in 2026 in the second half of the year. VGP intends to keep up to 50% and the remaining equity should come from third-party investors. The management will be shared between parties. There is no difference between the asset management and property management profile, which we had with the former joint ventures. It will become -- it will be the same. It will be East Capital's responsibility to do the fundraising and to do a little bit of investment advisory. And the portfolio will consist of -- what we are going to buy will be income-generating assets, all ESG aligned in the countries which you see. So it will come a little bit from everywhere, but with an emphasis on Central and Eastern European countries. That's it a bit on the JVs, and I will give the word now to my brother, Piet, for -- to explain the financial performance. And by the way, what you see on the picture is our park in Serbia, where the building on the right side is Ahold Delhaize, which we have built brand new, which has taken into operation. And the second building, the main tenant there is the Metro Group. And both buildings have been also delivered and both buildings also are BREEAM excellent awarded.
Piet Geet: You stole my intro Jan.
Jan Van Geet: Sorry.
Piet Geet: As always, I have prepared for you a usual slide deck with P&L, balance sheet, cash flow movements and some further details. And I'm happy to walk you through and also happy to report an increase in our profitability from pre-tax EUR 319 million to EUR 338 million. And as always, there is really a lot playing through our P&L given the fact that we have a hybrid model between own developments and a JV. So I think the best thing is, as also in former formats, to walk you through it in more line by line. We had an issue with some sound, so... So first and foremost, you see that our net rental and renewable energy income, it has increased with 31% to EUR 88.7 million, basically exists out of the gross rental income or the rental income and the renewable income. The gross rental income on our own balance sheet increased 32.7%, which is EUR 86.7 million --- to EUR 86.7 million. But if you look at it on a proportional basis, meaning this EUR 86.7 million and our share in the joint ventures' gross rental income, this effectively grew from EUR 203 million to EUR 235.5 million of gross rental income. Maybe just to make a quick recap to what has Jan been presenting before, is we have in the group on an annualized basis EUR 468 million of contracted rental income. From that EUR 468 million, EUR 146.6 million is on our own balance sheet, of which EUR 78 million is active. That EUR 78 million could compare to this EUR 86.7 million, but it is, in fact, more. That is because, of course, we had done a transaction with Saga at year-end, and that still delivered us EUR 15 million of rental income that portfolio before we transferred it into the JV. And on an annualized basis, that transfer was actually EUR 29 million of rental income. So that's it about the rental income, a good positive increase, all built up organically. In terms of the renewable income, we also see a strong increase, 43% to EUR 11.9 million, coming from EUR 8.3 million on gross renewable income. As Martijn has presented, this was an effective increase in production from 90 gigawatts to 132 gigawatts or a 47% increase. So that brings it down on the net rental and renewable energy income, an increase from EUR 67.7 million to EUR 88.7 million, but also at share from EUR 189 million to EUR 223 million or up 18% in comparison to 2024. The next line in our P&L is the joint venture management fee or the joint venture fee income. It's EUR 32.7 million last year. That grew with 59% to EUR 52 million. Here, there are also some -- quite some particularities. The joint venture fee income basically exists now out of 3 components. One is our property facility or asset management fee, which on a recurring basis grew with EUR 4 million, and then there is also a provision for EUR 18.4 million on a promote. Just as a quick reminder, we have multiple joint ventures. The first joint venture, Rheingold, comes up to maturity in May 2026. It has already been extended for 10 years. But after the 10-year -- or the lapse of the 10-year period, VGP is entitled to a promote based on the net IRR performance of that joint venture. Now the net IRR performance, and we are particularly proud of it, has been very good, and we have a 12.4%. This is really net IRR really on a cash level basis after all asset management fees, taxes and whatsoever. And since we have surpassed the hurdle, we have now at 31st of December booked a provision of EUR 18.4 million. This provision, of course, will be updated in the first half at 31st of May based on the valuation of the portfolio as of then, plus its operational performance. So it is our best estimate based on the track record until 31st of December. And then finally, the remaining part is the development management income. We perform works on behalf of the joint venture. This decreased with EUR 3.2 million to EUR 2.5 million. But overall -- so the joint venture management fee significantly increased to EUR 52 million. And on a recurring basis, we do expect it to increase further in 2026 because we have done a transaction, for instance, in December, where we also have an asset management fee on, which will be accounted for in 2026. Plus then, of course, all of the transactions that we foresee to do, one with Saga and also with the new East Capital fund, which will also lead into increases of our fee income with the JVs. The next line, that's always a strong influencer on our P&L, that's the net valuation gains that we record on the investment properties. These increased from EUR 187.1 million to EUR 243.6 million, and they are actually composed out of 2. Jan has already hinted to it also that we have an unrealized gain of EUR 183 million, which is an increase of EUR 89 million, which is mainly related to our development activities. That's the profit on our developments. Whereas there's also a second component, which is the realized gains. That means that we have sold assets towards the JVs or, for instance, also the disposal of VGP Park Riga at a higher level than it had been recorded for in our books, versus the fair value in our books. This led to a EUR 6.5 million additional profit. And our own portfolio has a weighted average yield of 7.48% versus 7.22%. Of course, the number, sometimes we get a question, is a bit higher than in our JVs. But in JVs, it's 5.22%. That is because it's more skewed to Western European countries in the JVs and fully stabilized assets, whereas here, we are still having assets under construction and also quite some Central and Eastern European assets, which have a higher yield, on which, of course, we have also now the nice opportunity with East Capital. The next line on our P&L is the administration expenses. They are quite, you could say, broadly in line with last year from EUR 61 million to EUR 63 million. In average, the remuneration went up with EUR 1.6 million. But we also had a depreciation increase of EUR 2.2 million. That is mainly related to our renewable energy installations, which are recognized in a cost model, so at acquisition cost and depreciated. We have a general -- I need to move this -- EUR 5 million increase in general admin. Part of that was also the marketing campaign that we launched in 2025. And then since we have more assets under construction in comparison to previous years, we have also higher capitalized expenses on our assets or investment property, which offsets the extra cost of the above with EUR 6.7 million. And at year-end, we have 434 FTE. Next line is the share in the net profit. And there, we actually see a decline from EUR 92.7 million to EUR 41.3 million. But I can actually explain, I think, what has happened there in the bridge versus last year. First and foremost, the -- and I don't know if you see it also what I'm seeing, but there is a line missing. There is a -- but anyway, the net rental income increased from EUR 121 million to EUR 134.7 million. That's an increase of 10.7%. But the big driver or change in the JVs is the net valuation gains, where it was a positive of EUR 54 million, it actually reduced with EUR 65 million to minus EUR 10 million. This was driven by a number of facts. One is we have done a few settlements with the JVs where the JV had to pay us a top-up on previous closings, which was a negative impact on the valuation in the JVs. But the second element was mainly that there was -- and there is a strong German portfolio inside of the JVs, which was negatively impacted by a valuation change. So the average yield went from 5.05% to 5.22% in the JVs and the German part was a devaluation of approximately 2%. The appraiser effectively reviewed its prime yields for the country, and as Jan was referring to before, also had -- updated also his discounted cash flow model, foreseeing rather an 18-month vacancy period than a 12-month vacancy period when contracts would come to an end. Now as we mentioned before, we do not see that trend at all in our German portfolio. In fact, everything what we released last year was at 21% prices, averagely higher, as well as the average term to release something was 2 days. So we didn't really see this. But nonetheless, it did impact a bit our German portfolio and within the joint ventures. Then the other expenses that you see there, it's actually the promote at share. All of these -- what we see on the bottom table is at share. So it's EUR 18.4 million for us. But it's a cost to the JV. And at share, since we own 50% of the JV, it's EUR 9.2 million. Admin expenses were broadly in line. And I think if we disregard once the valuation movements, then we are actually seeing a very strong set of EPRA results on the joint venture, which is a testament to the very strong operational performance of the joint venture because the EPRA earnings are up 25%, but also our cost ratios are down. So in general, we are actually very satisfied with the performance of the joint ventures. Hence, also, for instance, the above 12% net IRR that we could achieve on the Rheingold joint venture. Next point in our P&L is the net financial result, which went from an income to a cost of EUR 24 million. This is -- of course, we raised the EUR 576 million of debt last year at a coupon of 4.25%, which gives already a delta in a higher interest cost. On the other hand, also in 2024, we profited quite a lot, also in 2025, but the interest came down on interest on cash on hand. We usually put quite some money on term loans and try to optimize it maximally as possible. But last year, this was an income for us of EUR 12 million. Now it was EUR 5 million. So it's a decrease of EUR 7 million. We have some higher capitalized interests of EUR 3 million. That is because we -- just like the capitalization on the admin expenses, we have higher amount of volume of assets under construction. So this leads to a high capitalized interest of EUR 3 million. And we have a decrease in our interest income from the JVs. I would say the shareholder loans in the JVs, they effectively increased. But of course, there have been distributions through repayments of shareholders during the year. And only at the end of the year, we created a new shareholder loan with the Saga joint venture because the transaction only materialized in the second half of December. And also, we partly capitalized part of the noncurrent receivables or the shareholder loans on the Deka JV, which also decreased a bit the interest income. And then finally, as you may recall, we raised EUR 576 million of bonds. But we also bought back in 2025 EUR 200 million worth of bonds, for which we paid EUR 195 million. So we made a profit on that of EUR 5 million. Going to the next slide. He doesn't want to go to the next slide.
Jan Van Geet: Yes, he did.
Unknown Executive: Okay. Where Jan also already referred to, and it's a particularly good performance over EBITDA. So the EBITDA is up EUR 100 million versus 2024. So up to EUR 455 million or an increase of 28%. And the increase is to be noted in all of our segments. So in the Investment segment, where we show the EBITDA of our completed portfolio, excluding any valuation gains, you see an EBITDA going from EUR 204 million to EUR 249 million. This represents, actually, if you look at into our balance sheet, EUR 2.9 billion of our total assets. In terms of Development, as I explained before, net valuation gains of EUR 243 million, composed of the good development profit traction that we have -- something is happening here on the -- with the -- yes, I'm back here. The good traction that we have on the development profits and realized gains. So our EBITDA also increased from EUR 145 million to EUR 199 million. And then the gross renewable energy also has a nice EBITDA increase given also the 47% extra production that we managed to produce in '25 or a 43% increase in its gross renewable energy income. In terms of the balance sheet, we see a strong increase of our total assets and total liabilities from EUR 4.6 billion to EUR 5.2 billion. The investment property is now EUR 2.4 billion, which, of course, composed of a completed portfolio of EUR 915 million, under construction EUR 777 million versus EUR 579 million. So you see here also the increase versus '24. And then development land, as we did buy quite some very attractive land plots, also increased from EUR 645 million to EUR 728 million. We did about a total CapEx of EUR 660 million, which is composed of about EUR 490 million on assets and EUR 150 million roughly on land acquisitions. And I mentioned already the weighted average yield of our investment property, 7.48%. The property, plant and equipment, the EUR 141 million, it's an increase of EUR 18 million versus last year. This is mainly related to our renewable energy installations, where we had a EUR 19 million CapEx. And the completed installations, where also then the EUR 11.9 million of gross renewable energy income is coming from, is generated from a complete installation of EUR 109 million, and what is still under construction is EUR 18.6 million. And our investments in joint ventures increased quite significantly with EUR 109 million. Now we have done quite some transactions with the JVs, not only the Saga closing, but as I mentioned also before, there were some settlements on previous closings which were to the benefit of us, which increased the equity contribution into our joint ventures altogether with roughly EUR 100 million or EUR 98 million. Then we, of course, have -- since it's reported under equity methods, the allocation of our result or our share in the result of the JVs, which is EUR 41 million. And then we received equity repayments from the JVs, so dividends of EUR 30 million. I will come back on the distributions of the joint ventures in the cash flow statement. I already mentioned the other noncurrent receivables. So they increased with EUR 63 million following the transactions with Saga, but we also got EUR 32 million of joint venture loan repayments. These were the 2 main movements, I would say, on the noncurrent receivables. And then we ended the year with a cash position of EUR 523 million, got EUR 31 million more than we had last year. And on the disposal group held for sale, the EUR 27 million, that is the VGP Park Tiraines, which is going to be sold in H1 '26. That is under a call option of its tenant. It's located in Latvia, and the transaction is about to be materialized. Everything is more or less done. The shareholders' equity increased, as already mentioned before, from EUR 2.4 billion to EUR 2.6 billion, very easy movement, EUR 290 million profit, EUR 90 million dividend going out. So that makes the movement there. And then in terms of our financial liabilities, that increased from EUR 2 billion to EUR 2.360 million (sic) [ billion ]. This follows a EUR 576 million bond that we raised in H1. It was actually EUR 500 million with a top-up of EUR 76 million. Then from out of that, we did a tender on our outstanding bonds of January '27 and '29 of EUR 200 million. And '27 was reduced with EUR 179.9 million. The one of '29 was reduced with EUR 20.1 million. But we effectively paid EUR 195 million on that. And then there was also a bond that came to maturity in March of EUR 80 million, which was also repaid. And then we moved to current financial debt at year-end, now the EUR 190 million bond, which is due in March. I'll come back on the debt also in one of the next slides. But our average cost of debt is now at 2.7% as at 31st of December '25. And as you may recall, we have also revolving credit facilities, which are untapped. They amount to EUR 500 million. We increased them during the year, and we also prolonged to them. There are more -- there's more info to that in our press release on what and to what extent it has been prolonged. But in the end, it comes up to a consolidated gearing ratio of 35% or a proportional LTV of 50%. We also have a Fitch, and also since 2025, an S&P Global rating. Both investment grade with BBB- and a stable outlook. I already made a reference to this I think in -- on the previous slide. So our average cost of debt increased to 2.7%. We have a significant liquidity position. And the bond maturities, I've updated it here already, given the January '26 -- in January '26, a few weeks ago, in fact, or 1 month ago, we raised EUR 600 million bond. And from that bond, we also repaid EUR 100 million on the outstanding January '27 bond, which was originally EUR 500 million. We reduced it with EUR 180 million in '25, and we reduced it again in January with EUR 100 million. So it's now still EUR 220 million. And then the remaining bonds to be paid are listed there. But you can see the one in 2025 has a maturity, the EUR 576 million, in '31, and the new one, which was raised in January, has a maturity in 2032. Speaking of the cash flow statement, we started the year with EUR 492 million. The net cash generated from operating activities is EUR 51 million. Just as a side note, we did an update to our cash flow this year, where interest paid, as you can see now in financing activities, has been moved from operating to financing activities. We felt it's more correct there. It has also been restated in '24. So we go from EUR 33 million to EUR 51 million. I have a bridge on the left. But in essence, we have spent EUR 171 million in investing activities. The proceeds from disposal, the EUR 389 million, is related to the Saga JV and the disposal of Riga, plus some settlements with the joint ventures. From the EUR 660 million of CapEx that we see on investment property, an effective EUR 642 million has been spent. The remaining will move through our working capital on CapEx payables. Loans to JVs is a loan to one of our development joint ventures. And then distributions by joint venture, what I referred to before, EUR 82.7 million, broadly in line with last year. The EUR 82.7 million is a combination of interest payments of EUR 20 million, shareholder repayments of EUR 32 million and equity distributions of EUR 30 million. It depends a bit joint venture-by-joint venture, how we take out the excess cash that is inside. That's why I also group it here for simplification purposes. But we all consider this as distributions. There were no investments in joint ventures. That's mainly then related to development joint ventures. And then in our financing activities, so we paid an interest of EUR 48 million. We paid out a dividend in May of EUR 90 million, which we now propose to increase from EUR 3.3 to EUR 3.4 in '26. So that will go to EUR 93 million as cash out in '26. Then we had proceeds from loans, which is the bond raise of EUR 576 million. After costs and deductions, it's EUR 565 million net cash in. And then the loan repayments, it was a bond that we paid back of EUR 80 million. And then the EUR 200 million that we paid back for EUR 195 million. So EUR 195 million plus EUR 80 million is EUR 275 million that we actually repaid. So that means that we end the year with EUR 523 million of cash. I think I maybe explained all of this already, but maybe there's one more nice thing to note that is that we raised the bond in April of EUR 576 million at a coupon of 4.25%. We did one in January at 4%. But underlying, there is quite a big difference, because the EUR 600 million bond that we raised in January was at our historic lowest spread ever, 150 basis points. Of course, it was a bit upset and offset with the increase of interest versus the previous bond. But nonetheless, it was still at a cheaper and it was a very successful transaction that we've done. And now the maturity profile of our bonds are as follows. I believe this was, I think, my last slide. So I hand it over back to Jan.
Jan Van Geet: Yes. Thank you all for listening until now. A summary and the outlook. I am personally very happy that our result is even more and more cash generative and that the profitability of our new developments going forward is going up again. With all that we are going to start up this year, and we are quite bullish on it, we think that we are having a good year in front of us in 2026. On the relettings, as we have seen, our portfolio is -- we've never had to transact something to the joint ventures with a loss. And if you look at our relettings, they were during 2025, 14% higher than the rental price which they were let at before. And as Piet already said, on average, it took us 2 days to relet in Germany, where our reletting was 21% higher than the one before. And we have heard through the former reporting periods a lot of concerns about the German market, where we have a big exposure to. But we feel very confident in site, and we also see a lot of activity. We have a lot of new things going on. So we feel really very confident on that. The margins on our new developments, they are EUR 103 million. But there is really a lot in the pipeline, and I already talked about it. There are a couple of LOIs on which we are now finalizing. So cost reimbursement agreements is a better term for it, where we have agreed with tenants mainly out of the e-commerce sector that we're already going to line up everything so we can negotiate the relatively complex lease agreements because they are also relatively complex buildings. But we are on track to close them all before the end of the first quarter, some of them even in this month. So we're really in final negotiations. We already signed one with [ PE ] Capital last week in Bucharest. And if we look at it, we see that e-commerce is back on track and starting to look really again -- what they had over rented in 2021 and '22 has now been consumed, and they are back on track with growth, which is I think a very positive for us. So if these things materialize, we will at least start 450,000 square meters now in 2026, EUR 80 million which we need to start of rental income, which is already contracted, which is the best position I think we've ever had in our history. So looking forward. And that's very much supported also by the unlocking of some of the historical iconical parks which we have bought and which are mainly brownfields. And brownfields always take a little bit of a longer time to develop. But if I look at it, we're going to start construction this year on La Naval in Bilbao. We are going to start demolishing Nuremberg, for which we have a lot of demand. It's a super location, and we're going to start construction. We also are talking to some people out of the defense industry. We have already paid a visit to Hagen, which we bought just after the year-end with a very big tenant and which has been welcomed. Hagen is Dortmund, right next to Dortmund. It's a very nice site, which disposes of a 90-megawatt peak capacity of electricity, which is active. And so which opens a lot of opportunities for us. We're well proceeding on our Russelsheim development, and we're also very well proceeding on our permitting there because we needed to do a new B plan in Russelsheim, in which we also incorporated our data center and development which we aim to do. And I was puzzled by the presentation which Sarah gave to me about data centers coming from Microsoft. If you look at the actual installed capacities in the big conurbations of Europe where it is -- where everybody talks about, it's actually not that much as you would think. London is 1.7 gigawatts, Frankfurt also. And if you think about us in Russelsheim probably being able to do quite a bit more than 100 megawatts, that gives a total different perspective about the possibilities of our land plots. And we also have a very nice opportunity in Italy, and we're looking at other land plots in Germany. We think that, that would be nice. We also are going to have Verona coming online this year, our new land plot in Velizy, Paris, which is now -- for which we have also received the building permit and for which we're going to sign our first lease in the next couple of weeks. So all-in-all, we think that we have a very sunny future in front of us, as you can see on this picture, which is our park in Montijo, which is in Portugal. And then, of course, we are looking very much forward to the further diversification of our joint venture model. We are in continuous talks with our friends from Areim to do the follow-up of our Saga transaction. And also now we have announced it now publicly and we're very much looking forward to our cooperation with East Capital. And we have 2 legs to stand on them going forward and we hope it's going to be a big success. That's a bit, I think, the summary and the outlook for the next year. And I think that we can now move to questions from your side.
Operator: [Operator Instructions] The next question comes from Marios Pastou from Bernstein.
Marios Pastou: I've got a question mainly around the new partnership with East Capital. I think on the slide, you mentioned the potential for at least EUR 1.5 billion of gross asset value in scope. So I'm just thinking maybe part of the agreement, if you could give some more details on kind of what that total investment volume could scale to, if you've agreed a time frame or a target to reach that fully invested level? And whether the structure is broadly similar to what you've agreed in your prior partnership?
Jan Van Geet: Yes. Shall I take it? We can develop on our total -- on the total land bank at the moment, roughly something between EUR 6.5 billion to EUR 7 billion of new assets, which we are -- including what we have already -- which we still have on our balance sheet. So that is all possible to transfer into new joint ventures going forward. And we have already envisaged and we've already defined quite a large portfolio, which we could transact because it's already income generating and delivered in this year. So we have said we want to do at least EUR 1.5 billion. I think we're targeting more, something like EUR 2 billion. But that is a momentarily view at the moment. When we start, it can also grow bigger. We're very confident on the fact that we are going to be able to deliver -- well, VGP is delivering all the time new assets and all the time starts up new assets. So it will keep on growing in the future.
Piet Geet: I think in general, it's indeed more or less a copy of our current joint venture model with an investment period, 3, 4, 5 years. And what we develop, we will offer. And it's broadly similar. We will retain the asset management services on the -- as it is in the current joint venture basically.
Jan Van Geet: Yes. Structurally, it's actually the same. What is different is that we are not targeting one single partner per JV, that we are targeting multiple partners at the other side. More something like a fund structure than just a single JV with one single investor at the other side.
Operator: The next question comes from Vivien Maquet from Degroof Petercam.
Vivien Maquet: I hope you can hear me. I had a follow-up question also on the JV. Just to understand from the fundraising perspective, what kind of precommitment do you have on the third-party investor because I just wanted to see because you mentioned a closing in the course of the year. But do you have the -- I would say, the equity already being raised within the fund? Or what [ commitments ] you have on that fund? And also on the structure. Is it closed-ended or open-ended fund?
Jan Van Geet: It's foreseen to be a closed-end fund. And the raising of the funds is an ongoing exercise, which East Capital is predominantly occupied with, knowing that, of course, East Capital has a solid investor base inside of their existing funds. And this is an addition, more of a unique product that they can offer. But it is an addition to what they have in their current fund business. And the exercise is currently ongoing. We are targeting a closing by the end of the year. I think that's about it what we can say today.
Martijn Vlutters: Yes. It's a regulated business, Vivien, raising capital. So we can't really say what's been committed already. It's prescribed quite precisely what can and cannot be set in such exercises.
Vivien Maquet: Okay. And then just on the shares management agreement. I understand that deviate a bit from the previous joint venture. What does it mean for you in terms of recurring income you're going to drive from that joint venture?
Jan Van Geet: We expect a similar income model that we have with our current joint ventures also. There is indeed a sharing of services with East Capital, but it's somewhat similar, for instance, with what an Areim or an Allianz also does with their investors behind who are invested into our joint ventures. So East Capital will mainly look into gathering the funds and also doing the investor relations with the investors that they have been able to target. But other than that, our services remain the same. And we expect broadly the same revenues to be incurred from all of the disposals into the JVs.
Operator: The next question comes from Wim Lewi from KBCS.
Wim Lewi: I've got 2 questions. One is a small one on East Capital, if I can bother you with, is does the new fund also allow for countries that were not eligible for the other joint ventures to be transferred? I'm thinking, for instance, on Serbia or maybe other countries that you can now offload more into the future?
Jan Van Geet: The East Capital fund is a Pan-European fund. So every country where we are active in is, in fact, targeted. But it will be skewed more to the Central and Eastern European countries. But in essence, everything -- all countries are on the target list of the fund.
Wim Lewi: Okay. And then a follow-up, if I may. It's really on these valuators increasing yield in Germany and then especially in the JVs to 5.22%, which you explained that it's based on vacancy. Now you obviously have good leasing activity, which you explained many times. But could there be like a timing difference, because they do that at the end of the year, whereas you have done the re-leasing over the year. Can you give an indication of the amount of re-leasing you have to do in '26 and what you expect from that?
Jan Van Geet: We have very little re-leasing to be done in 2026. And so far, what we see is that, again, also for the things in 2026, which are coming available, we already know on beforehand and mostly months on beforehand that we are going to have a follow-up tenant. So what the valuators have taken as an assumption from a 12-month vacancy period, which we never had in Germany, to an 18-month vacancy period, we find it -- and we've tried to argue about it, but they take a view of the market. We find -- we can't say that we see that reflected in our own portfolio. I don't know what it is about. Maybe it's about older buildings or maybe it's about the total market view. But in our own portfolio, Wim, we are very confident and very -- that we have solid demand for everything. So we don't see, neither expect any deterioration of that in the months going forward. On the contrary, we have a lot of new lease negotiations ongoing also for new buildings.
Wim Lewi: Maybe if I may, because what we see or what we hear from WDP and Montea is that they can't find anything to buy above 5%. So could there be deals maybe in the near future that could review their case, that if we see that yields come down in deals. Is that something that you expect?
Jan Van Geet: Well, we hope so. We certainly hope so. Also the promote calculation which we have done is based on our risk valuation at the year-end. So it's just our current valuation, where okay --when we are going to have the valuation in May that's going to be based on the capital markets valuation, where the valuator really looks at the transactions as if we were to really sell -- and that's probably going to be a little bit different. We don't know north or south. But we think it's going to be different than what is our risk valuation. Until now, every transaction which we have done with our joint venture partners when we had a real discussion about the valuation, we always had a better exit yield or we always achieved a better exit yield than what we had it in our books for. So we're trying, of course -- we want to be a fair partner, but we are trying, of course, to defend our position also. That is more than normal, I think, in business. And I don't...
Operator: [Operator Instructions] The next question comes from John Vuong from Van Lanschot Kempen.
John Vuong: At the end of last year, you had 780,000 square meters under construction. Deliveries came to just short of 500,000 square meters. Were there some delays in the deliveries? And if so, what has been the reason for these delays? And looking at your pipeline going forward, it's currently sitting at a pre-let ratio of 75%, and you're saying that you're seeing quite some strong demand. So how do you think about the size of the pipeline under construction? And what are your thoughts about more speculative developments over the next 12 months?
Jan Van Geet: Yes. Yes, when you report, you always have a cutoff, which is at the 31st of December, and you need to take a look at it. Whereas in development, it's not always really linear. You have sometimes customers which have demands for changes in the building, which entail relatively complicated situations and which makes the delivery going over the reporting period. That's one of the things where we are. So I think you need to look over a period of -- a longer period of time to see really the tendency and not just in the cutoff of 1, 6 months period. That's the thing. We -- I want it to be -- although we have a big incentive to construct more because we now have our costs really back under control as inflation has come down tremendously. And in the construction industry, in every country at the moment, we can achieve attractive pricing. At the same time, we're also trying to manage our portfolio, so not to create too many vacancy or too many speculative buildings. So we look at on a country-by-country basis, but we try to limit really our speculative buildings to an acceptable level, which for us is -- it should be -- we should be pre-let above 70%. And ideally, by 8 months under construction, we should be above 80% -- above -- after 6 months under construction, above 80%, which we currently also are. So that's the parameters in which we make the decision internally, do we do speculative developments, yes or no. And it's also depending on the demand which we see in the locations, because not all countries run at the same pace at the moment. So we are also a bit careful in starting up too much square meters where we don't see the demand for it. And on the contrary, where we see a lot of demand, we start up a little bit more. But as I already said, and I hope I was -- it came across enough, at the moment, we really have a very strong pipeline in demand. We divide up our demand, we categorize it in a first contact, a second where we already have commercial negotiations, a third where we have virtually an LOI agreed, and a fourth where we started the negotiations on the lease agreement. And if I take the 2 last things, we have roughly EUR 50 million of negotiations ongoing, which I don't say we're going to sign all of it, but it's a very healthy indication that there is really demand which wants to contract at some point, because people don't engage with teams and with lawyers and with things if they have no intention to close the lease agreement. So from that point of view, we, at VGP, with our current portfolio and our land bank and the quality of what we offer, we feel comfortable to start a bit more construction over the year. But I can't tell you a number. As I already said, we have roughly 450,000 which we need to start up anyway because it's already pre-let if these LOIs also materialize. And then, of course, we'll do a bit more because it will bring our vacancy levels -- our pre-let levels up. And then we have a bit more room to also start a bit of speculative buildings in those jurisdictions where we feel demand is strong and supply is very low.
Operator: The next question comes from Francesca Ferragina from ING.
Francesca Ferragina: I have 2 questions. The first one is about guidance. I understand that you never disclose the guidance. But can you just give at least some qualitative type of comments on 2026? Consensus is pretty dispersed and it doesn't help. And then the second question is on data centers. You managed to hire a dedicated person. Can you provide an update about the opportunities you see here?
Jan Van Geet: We -- indeed, it's a bit difficult for us to give a guidance because we are not a REIT. Our VGP is a multiline model, where we have the development portfolio, where we have the rental income and we have -- it's different than a REIT. If you would only look at a REIT, it would be a little bit more easy to say what it's going to do. And going forward, we can also maybe make a projection of the rental income, what we expect for the year, because there we -- but also there, because we always transact between our own balance sheet and the JVs, it's not so easy to give you a reasonable view because we -- there is always movements from rental income, which is either on our own balance sheet and then it goes into the JVs and then it only accounts for 50%. So we'd rather not say something which we then cannot fulfill. We always give guidance on things where we think that they are achievable and where we feel ourselves also comfortable that we can achieve. And so far, I think, we've never promised something which we haven't delivered. That's something which we are proud of. On the data center things, so we are not actively buying land plots with the aim of developing really a data center. I see too many accidents in the market. Just last week, there was a big announcement in the press in Germany where a EUR 2.7 billion investment in [indiscernible] was stopped by the local authorities. People had paid a tremendous land price for it and done all the efforts and then it was stopped. So it is really a very risky business because we have a huge congestion in electric energy. And starting to build a land plot and then going for it, it is a very difficult business going forward. But VGP has a very big land bank, in the very big land bank, has some brownfields. Those brownfields come with a very big historical electric connection, which is there and available. And that's already a very big part of the transaction. And by coincidence, we are also 10 minutes away from Frankfurt Airport in Russelsheim. We've signed an agreement with Stellantis. That's the only one who can develop a data center on that land plot. They also still have a big reserve. But we have an exclusivity on data centers. And we have an agreement with the city on where the data center will come. And that it is going to be incorporated. It's currently part of the new B plan. And Sarah is working on that one and another one in Milan, where we also have a similar constitution, and where we think that -- and where we also have very intensive negotiations ongoing with most of the hyperscalers and some of the colocation investors, and where she is trying to manage that. And we are trying to take a look at where in the value scale of from just selling the land to core and shell to power shell to completely finished, build-to-suit, and then to completely finished and operational, what we are going to offer and whether we should do that alone or whether we should do that with a partner who has already all the accreditee to -- because he already has done it, something. And as you can hear from me, we are in a very intense process of aligning ourselves in order to be able to bring the best result. But this is a work which is not just -- it's not like developing a logistic warehouse. There are so many parts running around that it really -- it doesn't go so quick. So also the energy connection, it's not from today and tomorrow. Yes, in our case, it is. And then there is also the connectivity, the grid, et cetera, which you need to do for. And then we still have also to demolish in Russelsheim because now there is building standing on it. So it is not for tomorrow. But we're well on track. And that's everything which I can describe about it and disclose about it. Paul?
Unknown Analyst: A couple of questions from me. Just wanted to check. Coming back on the pre-letting point, because I think that's been declining since 2022. I think you had a high of 89%. Now you're down at 69%. Just wonder what level are you comfortable going to in terms of pre-letting level? And what gives you the comfort in starting more and more speculative schemes as you have been over the last few years? And second question is, linked to that, is just looking at the yield on cost on completed developments. Did you have to give any rent concessions to lease these up? I think in the past you talked to tenant incentives or rent-free periods. Just to get a sense on that. And if you could quantify those, it would be great. And then I do have a very quick third question, but let's see if you let me ask that one.
Jan Van Geet: Paul, on the first one, I think I already answered quite a lot of it. So yes, we've done a bit more speculative construction last year because our construction price came so much down. And we are currently -- after 6 months period, if you look at it, we are 80% pre-let. And we also have a lot of things in the pipeline where we feel very comfortable that we're going to sign it, which will take our pre-lets even more up. So we feel comfortable with today's level of pre-lets of speculative buildings under construction because we also see good activity and good demand on that pipeline going forward. So -- and we've built it for a very good price. On the activity for the -- from the tenants, we are always -- because we did not buy land at excessive prices and because -- at the time when the land was so expensive, I told you all, I don't find this thing sustainable. In 2022, we really stopped. We didn't buy anything, if you look at it going backwards. We only bought Russelsheim, which we bought for a very good price. But the rest, we couldn't make working. So today, we are in a very good position because we can be aggressive on the rental price but still make a very beautiful margin. Our margin is actually going up instead of going down because we have so good control of our construction cost. So we don't see anywhere where we need to give excessive rental incentives more than what we have been doing over the last 5 years. It's still the same. So we are -- it's a healthy market, I would say. Also the vacancy level which we see today in the market, 6%, it's not like we haven't had before, a lot more even than that. And I find it still very healthy that people finally have something they can look at, take a look at. And it's an advantage for us as a developer offering new things, where we can be aggressive on the price, that we can grow in a healthy way going forward. And yes, we can be maybe more aggressive than somebody else on some of our land plots because also we act as a general contractor in every country nowadays. And I think we have our -- I wanted to use the word shit, but it's our things very well under control. So it's really going well. Did you have another question?
Unknown Executive: Rent incentive wise?
Jan Van Geet: That's what I said, just answered, [ Tom ]. So no special rent incentives, yes. And you had a third question, Paul. No.
Operator: The next question comes from Steven Boumans from ABN AMRO, ODDO BHF.
Steven Boumans: So I have some questions on what to expect for signing new leases. So on the LOIs that you mentioned, could you please remind me how much in annualized rental income you expect to sign in Q1? And second, to respond to John's earlier question, how does the EUR 50 million in lease discussions you talked about compare to 6 months ago?
Jan Van Geet: As we said, we don't give guidance. So you've asked me to give a guidance on the first quarter. Well, we have really, let's say, EUR 25 million of lease agreements in final negotiations at the moment ongoing. Whether it will all be signed in the first quarter? I do think so that there is quite some nice things which are in final negotiations. And that's about the guidance which I can give. And if I look at going backwards, I think that the market today, it's -- last year, we signed a lot of lease agreements, really a tremendous amount of lease agreements, but they were all relatively small to the years before when we always had these 1 or 2 big ones standing out, which were really very big lease agreements. Last year, it was a lot more spread over many, many little -- or not little, but smaller lease agreements. On average, before, we signed 22,000 square meters. I think last year, on average, it was below 20,000 square meters. So that was a bit different in demand than it is maybe today, because today, again, we are looking at some very big leases which we are negotiating on. Yes, the one in the Netherlands is huge. There are a couple of very huge ones in Germany ongoing. There is a very big one in Spain ongoing at the moment in final negotiations, I would say. So that's about what we can say about it.
Operator: The next question comes from Thomas Rothaeusler from Deutsche Bank.
Thomas Rothaeusler: Just one question on data centers. I understand you plan to provide concrete plans by the year-end, yes. But maybe you could provide a rough idea about the capacity for Milan and Hagen already. And any indications if it will be powered cell or fully fitted? I mean, considering the high-profile recruitment you have announced, I assume it won't be gas powered land.
Jan Van Geet: You're asking me difficult questions to answer, Thomas. Yes, we hired a high-profile person, and she's a very lovely lady if you meet her with a lot of ambitions. And that's good because that's why we hired her for. We can do quite big -- I don't want to say anything about numbers because I'm going to say something and then it's going to be different, because we actually don't really know yet. But we have -- at the moment, we have a 50-megawatt connection available in Russelsheim from the grid. There is a power plant on our land plot, which is another 100-megawatt available. The question is, can we use it, yes or no, because it's a gas-powered power plant, and we are looking into it. We can expand that power plant quite significantly with gas turbines, and the gas can come from several ways. And that's an exercise which is ongoing. So it's quite complex to give an answer to your question, as you understand yourself because we are still looking and puzzling the pieces together. And we need to take a look also at what is acceptable for a hyperscaler, which risk he wants to go because he needs to have absolute reliability and the Tier 2 at least supply of energy, which we don't have our things all aligned yet because it's really complex. And the same is ongoing for our land plot in Milan, where, yes, we do have an agreement on the power supply. We know, plus/minus, when the power supply also will be available. But it's -- we are dependent on a third party. And yes, it's a very big capacity which we have been awarded. And the land plot is perfectly suited for it because it lies really on the super location for it. But as I said, there is a bit of work to be done on it. And we are going to disclose in the right time when it's ready to disclose where we are and what we do. And I don't want to overpromise. I just wanted to give you an update on where we stand today. And that's in all honesty what I can tell you today. Frederic.
Operator: The next question comes from Frederic Renard from Kepler.
Frederic Renard: A lot of questions already been answered, too, on it. Maybe to have a view on Allianz and the intention from here? And anything new with regard to potentially new JV? And then maybe another question. If I look at the sequential increase in H2 from new construction activity, and you mentioned already a good LOI of demand, so should we expect H1 2026 to actually be sequentially even more bigger than H2 '25?
Jan Van Geet: I will answer first on your last question, whether it's going to be more in H2...
Piet Van Geet: Which one?
Jan Van Geet: In H1 versus H2 last year is -- I don't have immediately in my mind. But we are going to start up roughly -- we have to start up quite some buildings in the first half year of 2026 because they are pre-let and we need to deliver within a certain time frame. So we need to start up. But I would need to calculate how much that is that is going to be for sure in the first half of 2026. On general, I expect somewhere between the same amount as last year and a bit more to be started up during the year. I think we feel confident that we are going to start up a bit more than last year. So that's the answer on your last question. And then on the first question regarding the JVs, I think we disclosed -- because it's a regulated business, so we've disclosed on the new JVs where we could. We can't say anything more than what it is. In the current JVs running, actually, everything is running well. There are no divestment plans immediately there. And all partners seem to be very happy with the performance of the things. As Piet said also, the EPRA results of the JVs are outstanding. The relationship -- the day-to-day relationship with Allianz but also with Deka and all the others is going very well. And the only real discussion which is ongoing at the moment is about our promote, where we have now tentatively agreed on the metrics of how we are going to do it. Because originally, it was, of course, foreseen that there would be after 10 years a liquidation of the JV. But that is not going to happen. So now it's an exercise on which we need to agree. And that will crystallize by -- in the next few weeks. But I'm sure we will find an agreement with Allianz about what it is about. And for the rest, operational-wise, everything is running well. We are going to -- we have also a refinancing upcoming in the Rheingold joint venture. That's all agreed. We have the term sheet signed. So there is no -- everything is aligned. So there is no clause on the horizon as far as I can see. Everything is good. I think I answered on your questions.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Jan Van Geet: Yes. I want to thank you all first in the first place for being here, both my colleagues and analysts and investors. Thank you very much for listening to what we had to say. I'm looking forward to speaking to you again on our Annual Shareholder Meeting maybe or then in August with the update of our half year results and then we have this year or maybe before on some conference. I hope that I can see all of you soon. As you could have heard from our side, it was a very busy year because we've done so many things and going forward, and it's grown all the time. But all-in-all, I have a good confidence in our sector that it has still a lot of growth capacity and growth possibilities and that VGP can play a significant role in that. And I hope all the others too, there is room enough on the market. Thank you for listening, and goodbye.
Unknown Executive: Goodbye. Thank you.
Piet Geet: Thank you.
Operator: Thanks for participating. You may now disconnect.